Operator: Welcome to Tremor International’s second quarter and H1 2021 conference call. At this time, all participants are in a listen-only mode with a question and answer session to follow at the end of the presentation. This conference call is being recorded and a replay of today’s call will be made available on the Investor Relations section of Tremor’s website, and will remain posted there for the next 30 days.  I will now hand the call over to Todd Fromer, Principal and President at KCSA for introductions and reading of the Safe Harbor statement. Please go ahead.
Todd Fromer: Thank you Operator. Good morning everyone and welcome to Tremor International’s second quarter and first half of 2021 results conference call. With us on today’s call are Ofer Druker, Tremor’s Chief Executive Officer, and Sagi Niri, Chief Financial Officer.  This morning we issued a press release which you can access on our website at investors.tremorinternational.com.  During today’s conference call, we may make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution in reliance on forward-looking statements. These statements include without limitation projections about our future financial results and future business, and statements concerning the expected development, performance and market share or competitive performance relating to products and services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business.  More detailed information about these risk factors and additional risk factors are set forth in our filings with the Securities and Exchange Commission, including but not limited to those risks and uncertainties listed in the section entitled, Risk Factors in our registration statement on Form F-1. Tremor does to intend to update or alter its forward-looking statements where as a result of new information, future events or otherwise, except as required by law. Additionally, the company’s press release and management statements during this conference call will include discussions of certain measures and financial information in IFRS and non-IFRS terms. We refer you to the company’s press release for additional details, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker, CEO of Tremor International. Ofer, please go ahead.
Ofer Druker: Thank you Todd, and welcome to everyone for joining today’s earnings webcast. As this is our first major communications since listing on the NASDAQ on June 22, before reviewing the highlights of our second quarter and first half of 2021 results, I would like to talk briefly about who we are, the market in which we operate, and how we have positioned the business for future growth. Afterwards, our Chief Financial Officer, Sagi Niri will review the highlights of our Q2 financial results. Following that, we’ll be able to take your questions. Before getting into the details, Tremor delivered amazing Q2 results that, when combined with Q1, represent great progress and testament to the success of our strategy driven by our end-to-end platform which is focused on video, data and connectivity. For the three months ended June 30, 2021, we generated contribution ex-TAC of USD $74 million compared to $28.5 million in Q2 of 2020, a 160% growth, and adjusted EBITDA of $37 million compared to $1.2 million in Q2 2020, 29 times growth. For the six months ended June 30, 2021, we generated ex-TAC of USD $137 million compared to $61 million in H1 2020, 125% growth, and adjusted EBITDA of USD $65 million compared to $1.8 million during the same period last year, 35 times growth. Our CTV revenue grew 280% in Q2 2021 versus Q2 2020 and grew 249% in H1 2021 compared to H1 2020. Central to this performance is the strength of our end-to-end technology and business platform. Later in this presentation, I will also touch upon the progress we achieved in the CTV, which is also a key performance driver for Tremor. We also achieved a 46% EBITDA margin in Q2 2021 on a reported revenue basis and a 51% margin on net revenue, which is higher than the median of the direct views. Finally, 92% of our net revenues in Q2 2021 were generated in the U.S., highlighting Tremor’s strength in our most important market but also showing the upside potential we have to expand our global footprint.  I’m proud to say that Tremor is recognized by the industry as the leading video and connected TV-focused platform. For the second quarter of 2021, video and connected TV comprised 82% of our revenues ex-TAC. Please note that for accounting purposes, we report contribution ex-TAC but we view this as our [indiscernible].  Our mission - four years ago, we set a vision and plan to transform Tremor into a unique market leading company focused on video, data and CTV delivered through a full end-to-end tech platform. Capitalizing on our collective experience and expertise integrating companies, we hand-picked and acquired companies that were committed to investing in these areas and connecting them to create a powerful platform. Successfully completing three major acquisitions in about three years, we have created what we believe is one of the leading end to end technology and business platforms offering video, data and CTV. We further believe that only an end-to-end platform comprised of our demand side platform, supply side platform, and data management platform gives us a competitive advantage in the marketplace.  The success of these forward-looking initiatives is the driving force behind the strong growth and financial results we reported earlier today. The high level of success we achieved completing the integration of Unruly, our last acquisition in January 2020, about a year ago, has translated into strong organic growth and profitability. It’s worth touching upon the fact that although COVID-19 proved particularly challenging in the first half of 2020, it also served as an opportunity for Tremor to focus our vision and accelerate our strategy and [indiscernible] to evolve. We have built and positioned Tremor to achieve success for the long term, supported by favorable fundamental changes occurring within the advertising industry which we believe will provide us with a long runway to grow over the coming years.  Now let’s look at our core strength and differentiation. Our core differentiation is grounded in our end-to-end business platform which has validated our approach and is fueling our growth in profitability. [Indiscernible] has aggressively become more sophisticated in how they reach their target audience while simultaneously seeking to simplify the execution of their campaigns. Tremor directly addresses this need by providing a flexible to solution to address the increased complexity of the industry. With many years of product development, experience and knowledge, we have established credibility in the market for our best-in-class video and CTV capabilities. This level of experience is unique in the industry and is respected by our clients. The key trends driving our growth include the shift of advertising budgets from broadcast and cable TV to digital platforms, growth in usage of video advertising formats, the importance of leveraging data together with significant scale in which to deliver amazing audience-targeting benefits and capabilities to our advertisers, the growth in CTV, and market trends such as supply [indiscernible] optimization and increased emphasis on consumer privacy around cookies.  Video is the fastest growing format in the U.S. market in terms of expense and is viewed at the most engaging format by advertisers. We have an established track record of video capabilities and expertise resulting in almost 200% growth in our video segment year-over-year, which was significantly higher than the CAGR achieved by the industry.  We are also focused on the fastest growing channels by device, CTV and mobile, which collectively accounts for 79% of our net revenues and 86% of our programmatic net revenues. Our CTV and mobile growth has significantly outpaced the industry at 167% year-over-year compared to 20% for CTV and 12% for mobile in the U.S.  As the fastest growing advertising medium by expense, CTV represents a tremendous growth opportunity for Tremor. Currently, there is an anomaly between the expense of CTV, which remains lower relative to other digital advertising channels, and the extremely high viewership and engagement from consumers while consuming content through CTV direct. We expect that expense will catch up to the eyeballs and advertisers will continue allocating a meaningful portion of their budget to CTV, which will benefit Tremor as CTV represents 28% of our revenues and continues to increase. Tremor works with premium and well-known brands that have global reach and allows addressable digital expense. Our revenue is widely spread across a variety of verticals, including entertainment, CPG, finance, restaurants, travel, health, and many more. Our emphasis on data is being supported by our ability to layer data through our proprietary DMP and our unique partnership with data providers. This enables our advertisers to target their audience with precision through the growing emphasis on CTV, where we offer strong reach through the growing number of our partnerships.  We continue to partner closely with top brands in our industry and are proud of this strong global partnership. Key partnership highlights from Q2 include our integration with [indiscernible] that will help connect marketer demand to high quality publisher inventory across channels while fortifying data-driven customer insights for improved activation and measurement, and our launch of in-house [indiscernible] targeting which will help our advertiser partners to increase their audience reach. Finally, our in-house creative studio, Tr.ly, pronounced Truly, continues to be a differentiation for Tremor International with some of the world’s top brands leaning into our bespoke solution. In Q2 alone, well over 60 to 75 different brands ran over 800 million impressions of Truly custom created through Tremor Video and Unruly platform and we sold $18 million in custom creative in Q2.  With those introductory comments complete, it is my pleasure to turn the call to Sagi Niri to review our financial results. 
Sagi Niri: Thank you Ofer, and thank you everyone for joining us today. We are certainly encouraged to see our momentum building as we move ahead of the first half of 2021. Today I’ll be discussing some of the highlights of our Q2 performance as well as some of the key financial and operational drivers during the quarter. Tremor International achieved another outstanding record quarter in Q2 with revenue and adjusted EBITDA propelled by organic revenue growth. In Q2 2021, we completed an exciting dual listing process resulting in an equity raise with investor endorsement in Tremor, bringing the total gross proceeds of our offering to approximately $147.9 million before underwriters discount and fees.  For the quarter ended June 30, 2021, Tremor generated $74 million in net revenue, the key metric we focus on in evaluating revenue performance, an increase of 159% year-over-year, significantly stronger than the digital ad industry growth. Our CTV revenue grew 280% in Q2 2021 versus Q2 2020 and are poised to continue the strong momentum as increasingly more business is being transacted through programmatic platforms.  During the same period, our video revenues grew almost 200%, which again was much faster than the 4% CAGR for video advertising. As a result of running an efficient business, we achieved adjusted EBITDA of $37 million in Q2 2021 and $65 million in H1 2021, or adjusted EBITDA margin of 51% and 47% out of net revenue respectively. Our net revenue grew 155% in Q2 year-over-year and came in at $74 million for Q2 2021 versus $29 million in Q2 2020, all of which was organic growth.  We continue to consistently generate meaningfully positive EBITDA while investing in the critical areas of our business that can drive our future growth. We have been generating positive EBITDA since 2014 and ended Q2 2021 and H1 2021 with $37 million and $65 million respectively, representing again a 51% and 47% margin on net revenue respectively. We saw very strong year-over-year momentum in Q2 and H1 2021 which increased our EBITDA by 29 times and 35 times respectively compared to the same period in 2020, underpinned by enhanced fulfillment of our omnichannel product offering, the full integration of the Unruly business offering into Tremor, and the utilization of our economies of scale and efficiencies through our cutting edge tech platform, allowing us to translate the majority of the growth directly into the bottom line.  Our early entrance into CTV happened with the enhancements we made to our offering during the pandemic, resulting in 280% year-over-year CTV revenue growth in Q2 2021. Our video net revenue increased 199% from $20 million in Q2 2020 to $61 million in Q2 2021, and was driven by our video capabilities and focus. Even though there is seasonality in the industry, we experienced significant growth in the first half of 2021 during which we exceeded market expectations and proved that our strategy is working.  We believe we have a competitive advantage from our omnichannel end-to-end platform versus one dimensional solutions. Tremor’s structure of running its own data centers alongside cloud-based computing allows us to deliver consistent performance, guaranteed quality, and massive cost efficiencies. We have an efficient and profitable business model with high efficiency around operating costs, leading to maximum operating leverage, economies of scale, and strong productivity. Among our [indiscernible] peers, Tremor has one of the highest margin and operational profitability resulting in 46% adjusted EBITDA margin in Q2 2021 on a reported revenue basis and 51% on a net revenue basis. Turning to our cash flow, we generated net cash from operating activities of $57 million for Q2 2021 versus $7 million in Q2 2020, uplift of approximately 700%. We ended the quarter with cash and cash equivalents of $275 million, up from $172 million from the prior quarter which with disregarding net proceeds of our offering grew $54 million in the quarter. By July 31, we had $314 million cash and cash equivalents with no debt. We also experienced 99% free cash flow conversion during the quarter.  Non-IFRS diluted earnings per share of Class A common stock is $0.23 for the quarter versus $0.02 loss on Q2 2020.  Finally, I’ll now turn to our outlook. For the third quarter of 2021, we expect net revenue to be at least $75 million, which represents year-over-year growth of approximately 50%, and adjusted EBITDA to be approximately $37 million, which represents year-on-year growth of approximately 85%, and expected adjusted EBITDA margin of 49% as a percentage of net revenue. We believe that our growth profile and healthy balance sheet positions us extremely well to take advantage of the rapidly growing market opportunity in front of us. With my remarks completed, I’ll turn the call back to Ofer.
Ofer Druker: Thanks Sagi. To summarize, Tremor operates in the fastest growing segment of digital advertising, an ecosystem consisting of video, CTV and usage of data. These fastest growing areas of digital advertising account for 85% of our revenues. We created an end-to-end platform that addresses the opportunities in the market mainly around the simplicity clients are looking for, uses of data, and supply [indiscernible] optimization. Our success has been proven out by the strength of our operational growth and financial performance.  Our focus on CTV is evident as CTV represents approximately 28% of our net revenues and is expected to be a driving force in our growth going forward and in our product road map. The combination of our strong tech platform, layers of activity and discipline provide an excellent road map for our continued operations and financial success. We strongly believe that we have a lot of room to grow and remain confident for the future.  Operator, we’ll now open the call for investors’ questions. Thank you.
Operator: [Operator instructions] Our first question comes from the line of Laura Martin from Needham. Your line is now open.
Laura Martin: Can you hear me okay, guys?
Ofer Druker: Yes.
Laura Martin: Great, fantastic.
Ofer Druker: Good morning.
Laura Martin: Good morning, great numbers. Congratulations you guys.  I’m very interested in two things. One is your CTV versus online video, I’m very interested in whether you see CTV cannibalizing online video or whether you see the growth coming from different types of advertisers in the two categories, and then my second question is on News Corp - you have this wonderful exclusive deal with News Corp to sell certain of their upstream video units until the end of 2022. Just as a housekeeping item, how much of your total revenue did that--did News Corp represent in the second quarter? Thank you.
Ofer Druker: Okay, so for the first question about if CTV is cannibalizing online video, both sectors are basically growing. We have growth that is coming from both sections. When we are looking at CTV, this is something that people are basically expanding into lately for us, so we have clients that are coming directly for CTV but we have also clients that we basically worked with them in the past and they are expanding, but we see both channels growing. Regarding the questions about News Corp, Sagi, can you give the numbers about what is the--the size of the activity? Thank you.
Sagi Niri: Yes, sure Ofer. First of all, of course we are very happy with the deal with News Corp. Secondly, the deal is around £30 million for three years, and if I’m pacing it per quarter, it’s not meaningful out of our net revenue. 
Laura Martin: Okay, thanks very much. Great numbers, guys.
Ofer Druker: Thank you.
Sagi Niri: Thank you.
Operator: Thank you. Our next question comes from the line of Matt Swanson from RBC Capital Markets. Your line is now open.
Matt Swanson: Yes, thank you, and I’ll add my congratulations on the strong quarter. Ofer, just kind of following up on Laura’s question, obviously the results in CTV are kind of the highlight. Could you expand on where you’re focusing your investments in this market, and then I was really interested in the launch of the in-house TV retargeting and measurement solution, so if you could give us a little more color on that from the press release.
Ofer Druker: Of course. I will start maybe with the TV retargeting. We are basically doing TV retargeting for a couple of years. In the past year, we changed our provider and we are using now another provider that worked with us in order to build the solution that is providing a very strong solution in the market regarding ACR and TV retargeting. We are integrated into a major--in the major verticals that we are working with already for a couple of years, mostly entertainment, travel, automobiles and so on, and CPG that we are using this technology with. We see great success. One of the major advantages that we got is the full end-to-end solution that we are driving, and in that matter, in this scenario it’s also helping us to integrate data whenever we are basically using [indiscernible], when we are running managed campaigns, or when we are selling PMPs and we are able basically to offer this data as a layer around the media that we are selling. In both occasions, we can basically use this solution that we integrated. Regarding the question about the CTV, can you basically tell me what you are looking to understand because I need to understand what is your question.
Matt Swanson: Yes, definitely. Just seeing how fast the market is growing, what are your focus areas of investment around the market to continue to gain share? Is it in technology, is it targeting new customers, the TV retargeting? Essentially, you said there’s a divergence in viewership versus ad spend. Is there anything company-specific you can do to drive that?
Ofer Druker: I agree, so basically what we see is that--I think that you need, when you are trying to capture the wave of CTV, we need to put the emphasis on all the elements, meaning we are putting more emphasis on technology and product innovation. We said in the past that we are going to grow our investment in innovation and mostly around CTV, and that’s what we are doing now, so this is something that we are doing, building our--launching more and more capabilities around CTV that we are offering to our clients successfully. Regarding clients, we have one of the companies that built a really strong sales team on the ground in the U.S. and globally, and this team is offering of course CTV opportunities to new clients but also to clients that we used to work with in the past, and we see great adoption by clients that used to work with us on other formats, mostly video, shifting also to CTV because of the advantages that CTV is offering, mostly reach and also engagement. According to our studies that we did in the past year, we saw that also the engagement around CTV is very strong compared to other formats, so it’s like accelerating the usage of CTV as a format that basically advertisers are using in order to reach their audiences. I think it’s a mix--answering your question, Matt, I think it’s a mix of efforts. One of them is on the innovation and product, the second one is increasing the sales on all fronts, meaning increasing the sales which we are bringing new clients and also encouraging and educating clients to push their budgets into CTV because this is basically for them also the future.
Matt Swanson: That’s extremely helpful. If I could add one more for Sagi, being your first quarterly call, could you just talk to us a little bit about your philosophy around guidance and any additional color on the macro environment that you might be thinking about when you’re going through that process?
Sagi Niri: Sure. It’s the first earnings call we are doing as a dual listed company that is now part of NASDAQ. I think that we gave guidance only for Q3 in order to be cautious. Of course, we will consider going forward maybe give a yearly forecast as well, and when we are doing our forecast, of course we have our platforms in place and we have the pipeline both on the demand side and the supply side, that out of that we can generate a model like you are doing and forecast next quarter and beyond that. That’s how we are doing that. On top, of course, you know the COVID-19 situation is not--we didn’t pass that as well, so we are trying to be cautious as well on that front, because we are not aware or we are not sure what will happen next. Another thing that is influencing our forecasts going forward is, as we discussed before, we are going to invest much more now in product, in technology, in sales and marketing in order to enhance our organic growth and capture the market opportunity. All of these parameters, of course, are influencing our forecasts going forward.
Matt Swanson: Thanks for the time. Congrats again on numbers this quarter.
Ofer Druker: Thank you.
Operator: Thank you. Our next question comes from the line of Ron Josey with JMP Securities. Your line is now open.
Ron Josey: Great, thanks for taking the question, and another offer of congratulations here. Ofer, I wanted to follow up on CTV, which is what most are asking, but we’re seeing accelerating growth here and another impressive quarter. You mentioned in your remarks that CTV is not yet on par with engagement, and of course we’re seeing that as well; but can you just talk about the shift, what needs to happen for CTV ad spend to be on par with engagement, and any thoughts on timeline here? That’d be very helpful. Then Sagi, following up on your comments just now on investments, can you talk just a little bit more around margins and where you see they might level off overall? We’re seeing the benefits from the revenue scale fall to the bottom line and then margin guidance is extremely strong for 3Q as well, so talk to us about how you view margins longer term as well. Thank you, guys.
Ofer Druker: Okay, so I will start about CTV. Yes, there is--when you look at, let’s say, the level of engagement of users with CTV, it’s really amazing to see, and I think that basically the pandemic just accelerated it because people are consuming much more content through CTV channels right now. When you look at it, I think that sometimes it takes--from my experience, sometimes we know what the future will bring but we don’t know how long it will take us to reach this point, so I think that we see graduate education and testing and adaptation of clients to using more and more into CTV, and I think that this phenomenon will grow, and I think that another element that will allow more clients to get in is when the size of the CTV is growing, the size of the media is growing, it will allow also more, let’s say, flexibility on pricing that will allow even more clients to jump into this opportunity and start buying media on CTV, which in the beginning was very expensive and now it’s changing over time. So I think that it’s hard to say, to give an indication of time, but I think that we are in the middle of this revolution or process where advertisers are basically now adopting new format of CTV, they are moving more and more budget into that. Some of them are already there and just moving more into this channel, and some of them are just testing and still exploring if it makes sense to them to make this switch now or to wait. Sometimes it takes simply some time to make this adjustment in order to buy this new type of media. But overall, I think that--if you ask me, I think that in the next one and a half years, until the end of next year, we’ll see much more participation in CTV coming from different types of advertisers and different verticals that we started up this model and format, and will grow it in their budgets.  I hope that I answered your question.
Ron Josey: Yes, thank you.
Sagi Niri: Regarding the question about margin, I think we said it as well, among our ad tech peers, I think we have one of the highest margins and operational profitability. I think that most of it is coming from the competitive advantage of our omnichannel end-to-end platform versus the other one-sided solutions, and again some things around our structure and data centers and of course the efficiency we have within our business, I think that some of it is coming as it’s coming in other companies - you know, from the pandemic and sales, where some recurring costs are not being expensed anymore or at a very low level, but probably post the pandemic it will get into the usual costs, so we will see a little bit of profitability going down.  Again, we are going to invest more in product, R&D, sales and marketing. Having said that, we will scale our revenues and net revenues up, so I think going forward, as we stated for Q3, still our margin is going to be high.
Ron Josey: Great, thanks guys.
Ofer Druker: I think that also there is some philosophy here that, in the past, we were more focused on EBITDA and we are moving now to look more on growth, and this is of course a period of transformation that we are managing now.
Operator: Thank you. Our next question comes from the line of Lyra Li from Jefferies. Your line is open.
Lyra Li: Hi guys. Firstly, congrats on the strong results. I guess I just have one question. Could you maybe provide a comment on the acquisition pipeline, given you guys now have growing cash, and also related to that, do you see potentially share buyback would be a possibility, especially when [indiscernible] targeting a UK listing?
Ofer Druker: I think that your line--I couldn’t understand your first sentences. Can you please repeat? Sorry. 
Lyra Li: Yes, sure - sorry. Can you hear me now?
Ofer Druker: Yes.
Lyra Li: I’m just wondering if you could comment on the acquisition pipeline, please. 
Ofer Druker: Acquisition pipeline?
Lyra Li: Yes.
Ofer Druker: Okay, so basically our company is known also for conducting successful acquisitions in the past few years. We acquired Tremor and then we acquired basically RhythmOne and the last one was Unruly, that we conducted in January 2020. Of course for us, it’s a valid growth path also to grow through acquisitions, and we are looking what’s going in the market and we are looking for additional targets - that’s of course part of the reason that we raised cash, in order to be able to be in this position. I think that we also proved that we know how to basically integrate these companies in a quick and efficient manner, like we did in the last three acquisitions over the last three years, building our company from that, so we are open to that and we are looking for acquisitions in the market always in order to grow. But having said that, as you can see in the past since we finished the integration of Unruly a year ago in June-July 2020, we’ve also been able to grow very nice organically, so this fact of course allows and gives us the time frame and the opportunity to look carefully and to find our candidates for acquisition, and we keep doing that also in parallel to the organic growth that we are demonstrating.
Lyra Li: Okay, great. That’s really helpful, and apologies for my connection. Thank you.
Ofer Druker: No problem.
Operator: Thank you. Our next question comes from the line of Andrew Marok from Raymond James. Your line is now open.
Andrew Marok: Hi, thanks for taking my questions. Two, if I could. One, obviously the growth in the Americas has been really strong to date, but could we get a perspective on your potential for international scale and what is the international focus on this point particularly in APAC and EMEA? Secondly, you’ve given some quantitative data in the past around your private marketplace and self-serve businesses. I guess if you just give us an update as to how those aspects of your business scaled in Q2. Thank you.
Ofer Druker: I will start with the international potential. Basically Tremor has also got a very interesting capability around the globe. We have offices and operations in Australia, in Japan, in Singapore, in Germany and the U.K., and some back office and development office of course in Israel, but the activity is also done in the locations that I mentioned before. COVID basically did two things to us, the first thing after the acquisition of Unruly last year, and most of the activity that was--that is international for us came from the activity of Unruly, and basically immediately almost after the acquisition, most of these markets were shut down because of COVID and still under very tough restrictions and limitations, so it’s slowing us down in this matter of integrating and pushing more product into these locations and growing this potential. I am sure that when these limitations will lift, we will be able to grow them and integrate our capabilities also there in these locations in order to grow this activity, and in the locations that we are, we believe that these are the main locations that we want to stay and operate, which is Australia where we’re also enjoying there from what was mentioned before, the cooperation with News Corp; Japan, which is a really interesting market and even before Unruly, we had an office there and activity there, so we believe in this market and we want to invest in that. Singapore, which is more like original office that we believe that, because we have a lot of global partners and advertisers that are interested in this area, we need to provide also a solution in these locations and we are doing it very successfully. In Europe, the two main markets that we are active in, and we will stay there, is U.K. and Germany, which are really interesting for us, and also in the U.K. we enjoy from the partnership with News Corp in this country, which is of course meaningful because News Corp is a very big player in the U.K. market. I think that COVID slowed us down in integrating more product and growing these revenues because of the restrictions, but also the economies of some of these markets, we are suffering from the effects of COVID in the last 18 months, that of course affects our capability to grow our revenues in these locations for now. The second question was about--remind me, about--?
Sagi Niri: Yes, I will take the second question. 
Andrew Marok: It was on the PMP and self-serve businesses.
Sagi Niri: Yes, so we disclosed before, yes, PMP and self serve, I think that we understand that both of those are main growth drivers. We stopped disclosing the level of increase or the scaling up of these two KPIs because everything is going now under the programmatic umbrella and we are disclosing only the CTV part and the video part.  Having said that, I can share with you not the exact number, but it increased dramatically from Q1 and incredibly from Q2 2020, so the trends are still very high, it’s jumping every quarter, at least double digit growth from quarter to quarter, but again this is our KPIs and our growth drivers, and as Ofer mentioned, we are going to invest more and more in our product offering in order to keep this organic growth moving forward. 
Andrew Marok: Thank you.
Operator: Thank you. At this time, I’m showing no further questions. I would like to turn the call back over to the speakers for closing remarks. 
Ofer Druker: Thank you everyone for participating in this call and looking forward for the next call next quarter and to keep providing good news to the market. I think that it was our first call and I hope that you enjoyed it like us. Thank you. 
Sagi Niri: Thank you everyone. 
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.